Ruisheng Sheng: Okay. Good afternoon, dear friends from the media. Welcome to the 2022 Annual Result Announcement for China Ping An. I'm Board Secretary and Brand Director, Sheng Ruisheng of the group. I'll be hosting today's meeting, which will be done by on-site meeting, live streaming and video -- teleconferencing. Joining us today, we have Chairman, Mr. Peter Ma; President and Co-CEO, Mr. Xie Yonglin; Co-CEO, Jessica Tan; Co-CEO, Mr. Jason Yao; COO, Ms. Fu Xin; and Mr. Benjamin Deng, CIO.  We're going to have Mr. Yao to take you through the performance review for 2022, and the management will take your questions. Mr. Yao, please.
Jason Yao: Dear friend from the press, good morning. Welcome to the 2022 annual result announcement for China Ping An. Thank you for your long-term trust and support to Ping An. I will take you through the full year results 2022 for Ping An Group.  Please turn to Slide 5, which is a summary of the strategy of China Ping An, which is to advancing the upgrade of strategy of integrated finance plus health care. Our vision is to become a world-leading integrated finance and health care service provider.  On Slide 6, you can see 2022 proved to be a difficult year in macro environment, with complicated international landscape, with geopolitical conflicts, valuated inflation in Europe, U.S. and tightening liquidity in overseas. In China, we also have supply/demand under pressure and GDP growth was 3% and also equity and bond market was also on the down trend and some of the industry are seeing higher credit risk. In facing these challenges, China Ping An has taken multiple efforts, including different reform, reducing cost, improving efficiency, delivering robust and stable performance.  Attributable operating profit was CNY 148.4 billion, maintaining a positive growth. Operating ROE at 18%, which goes to a source of high-quality development of the group, which outperforming their peers. Due to challenges to the capital market and industries, the attributable net profit, NBV has been lower, but it's gratifying to see that in recent times, NBV included -- many indicators has returned positive and keeping strong momentum. Ping An continued to stress the importance of shareholder return. The full year dividend payout was CNY 2.42 per share, up by 1.7%.  And also on Slide 7, this is the contribution of our different business lines. Our unique integrated financial model has brought about a diversification of profit, which help us to defend our business and also make sure the stable growth of the operating profit as a whole. In the challenging 2022, as the core contributor of profit, life and health was up by 16% year-on-year, which is a boost of confidence to the operating profit for the group. The second contributor would've Ping An Bank, the back-end business also was up by 25% year-on-year. So the robust performance of the ballast sector validated the strength of the Integrated Financial Ping An, which offset the profit volatility in other businesses.  On Slide 8, end 2022, due to a higher operating variance, Life and Health attributable profit was up by 16% year-on-year. The higher operating variance mainly coming from the lower actual loss also improvement of the 13- and 25-month persistency ratio.  On Slide 9, this is the NBV contribution by different channels. As you can see in 2022, due to a range of challenges, particularly this sector was under pressure. On the 1 hand, there have been a weakening intention to consume by the domestic market will lead to the decline of the long-term production products. At the same time, in terms of recruitment and the customer visits, some of the offline activity was hamper, which put a difficulty of business expansion, which is why NBV was down by 24% year-on-year. In 2023, with the consumption warming up and lifting of the COVID control, the adverse conditions has been reversed. So you can see in terms of NBV, February and March, they have returned to positive growth and with strong momentum.  Over the longer run, we are very positive to the Chinese life market with consumption recovery, the life insurance, we're going to see new momentum. And also in the past few years, we have been taking reform efforts. I believe we are in a good position to capture the opportunities as they arise to play on our advantage of integrated finance for robust development.  On Slide 10, this is the operating return on embedded value, is at 11%, keeping a stable robust position. And also this on dividends. As you say, we value shareholder return, continue to drive the cash dividend payout. So we proposed a cash dividend of 1.5 dividend, bringing the full year dividend to CNY 2.42, up by 1.7%.  On Slide 12, this is solvency. In 2022, under C-ROSS 2, our solvency remain far high the regulatory threat hold as again on the group level, life and property. The core solvency adequacy was above 100%, which is more than double of the 50% required by the regulator.  On Slide 13, this is about investment. You can see in terms of investing insurance funds, there are 5 principles. The first is the asset and liability matching, the second is investment and yield matching, and also investment and liquidity matching, and fourthly, it will be investment risk and security matching, and also investment and financial yield matching. So with the guidance of the 5 principles, Ping An has been deploying our asset allocation for mid- to long-term among asset classes. The ratio remains stable. Fixed income account for more than 70%, extended the duration with stable contribution or yield, equity account for 12%. So they are more . So equity there to provide extensive yield.  And in terms of the investment, real estate is accounted for only 4.7%. Among all the real estate investment, property asset account for close to 60%. Those properties are commercial office, rental generating properties like office building and shopping malls, which are able to provide stable rental contribution. And these assets are of higher quality with value appreciation potential.  On Slide 14, among the portfolio, the debt scheme and debt wealth management product is only accounting for 10% of investment assets. 10% was actually a bit lower than the beginning of the last year. Nominal yield was at 5%, remaining duration at about 4 years.  On Slide 15, in 2022, due to challenge of global macro economy, capital market volatility, the total investment yield from the insurance investment, has been lower. But if you look at the long-term return for the past 10 years, the average comprehensive investment yield has been 5.5%, which is higher than the 5% actuarial assumption from embedded value for long-term investment. And also, our investment portfolio is now in a dumbbell shape, which help us to transcend the economic cycle to provide stable investment yield. Our net investment yield last year was at 4.7%. So we actually bucked the trend to improve by 0.1%.  On Slide 16, it demonstrate Ping An as a responsible group. We are making contribution to sustainability. On the left, you can see a range of numbers, which goes to show our efforts for green development, social responsibilities, whereas on the right, these are a range of accolades, which means our efforts has been well received by the rating agencies, home and abroad. On Slide 17, this is to display our honors and awards. Our brand value, continue to improve. Among Fortune 500, we are ranking #25 and also on the fourth place among global financial companies.  On Slide 18, this is about the timetable -- initial timetable for the new IFRS 17, which has got a lot of attention from the capital market, the analysts usually have referred to the IFRS 17. In April, we're going to disclose the Q1 results under the new rules in order to help investors understand the changes before we disclose the interim result 2023, we are also going to disclose the key financial information for the same period in 2022 under the new IFRS 17. And also the new rule is not going to change the nature of the business nor does it change our strategy. We're going to continue to disclose the critical metrics, the operating revenue, operating ROE. They help analysts and the market understand our performance. In the future, we're going to disclose the specific indicators, which can be found in the appendix.  So that will be the performance review for Ping An. We will now be happy to take your questions. Thank you.
Q - Unidentified Company Representative: Thank you, Mr. Yao. For details of different business segments, please refer to the PowerPoint slides that we provided for you. There were more slides, but we are not going to go through them now. We're going to have this time to take questions. The first question -- well, before we take questions, please identify yourself and your organization. And also please refrain from asking more than 2 questions. Okay. The gentleman here on the front.
Unidentified Analyst: I'm from China . My name is Xijin Tang. My question is, now when it comes to last year performance, how do you evaluate your performance last year? And also in 2023, what's your view on the macro economy in 2023? And how would Ping An deal with the opportunity and challenges ahead in this year?
Jason Yao: Okay. Let me take your question when it comes to our view on 2022. Actually, in my presentation, as I said, 2022 proved to be a very difficult and challenging year, as you can see, in a national landscape, which was difficult, geopolitics, Russia and Ukraine war, inflation, interest rate hikes. In China, economy was also under pressure and also there is the COVID. So in such a difficult year, our company, as I said, we have been depending reform, reducing costs, improving efficiency. We have seen a positive growth of operating profit.  As you recall, in interim result last year, I have answered a similar question. So I think there are 3 keywords to sum it up, what we -- how we performed in 2022. The first is stable growth. We have stable growth. As I said, despite the multiple pressures, multiple challenges, we achieved a positive growth of operating profit. We have maintained our track record for many years with a positive operating profit, ROE -- operating ROE at 18%. Our integrated financial model has been very effective. Our individual customer number, contract per customer, as well as the profit contribution per customer, has also been on the rise.  The second keyword will be continued return. So we continue to value providing return to shareholders in terms of cash dividend. So you can see in last year, despite all the difficulties and challenges, the company continue to adhere to the payout policy to link to operating profit. So despite the challenges, our dividend was growing faster than the growth of operating profit. So the dividend per share for the last few years, we have seen an absolute dollar amount growth in terms of the dividend payout.  The third keyword is reform and innovation. When it comes to reform, our life insurance has completed a 3-year deep reform cycle. In terms of products, in terms of channels, we have seen solid progress and we are starting to see results, particularly in this year, in February and March, we have seen very pleasing NBV, which has returned to positive now. So Jessica perhaps will talk more about life insurance. And also, we continue to depend our health care ecosystem by deepening our efforts, our model of managed health care in China. And also the management team of the company continued to deepen our digitalization during the COVID pandemic. When it comes to digital, operation management and administration to enhance the management competency, reducing costs, improving efficiency. So that will be how I characterize our performance in 2022.  Okay. Let me talk about our view toward 2023. Now even though in the short term, we have seen some uncertainties, including domestic international uncertainties. But as a whole, when it comes to our 2023 or even mid- to long term, we are still confident. 2023 will be a year when Ping An go back to high quality, high growth as a whole. It can be summarized as expected high-quality growth. We can expect high quality growth this year. In terms of macro, starting from Q4 last year, and after the 2 sessions in Beijing, China has launched a range of policies to stimulate a policy, which means, the economic and operating environment demonstrate a strong resilience with great potential. So the environment set a stage for a great operation environment. On the company level, for the sector that we operate in, including insurance and also concept assumption, we are very confident. To begin with, let's talk about our own foundational reform, as Jessica said in the past few years, when it comes to live reform, we have conducted deep level reform over 10,000 outlets with a thorough reform, which penetrate through the agency, bank assurance, community grids and lower tier cities and -- as well as covering 3 major product lines.
Jessica Tan: We firmly believe even if with an impact from pandemic, but you know that as we're improving our managerial capacity and with a more robust state and consolidated business models being built and we still lay a very solid foundation for our future high-quality business growth. You can see from Q4 of '22 on, and we also clearly noticed there are some of the BUs in the first batch or the second batch of the reform, their NBV has already been revised and especially in January and February of this year, their NBV has already become a positive number. I think such great momentum is going to be continued until the whole year of '23. And we're going to have a more positive NBV growth for the whole year of '23. I still would like to mention about the bank insurance channel. And at the very beginning of this year, we have triple-digit growth for the bank insurance business. And this is very promising for the mid and the long-term growth.  Let me just comment on the business model again. We have integrated finance model, which is quite unique in the market, especially from 2017 until now. And in the past, our customer is only 117 million, but now it's already 230 million. So on one side, the customer started to trust us more, and we also noticed when consumer, they enjoy more than 4 of our services or the product. The consumer loyalty and consumer contribution would be greatly improved. And now we have more than 90 million customers who actually enjoy at least a full service and product from Ping An. So I surely believe such a well-consolidated customer base would support our 2023 growth and our long-term target hitting. When taking a look at the macroeconomic picture of the industry along with our own growth, we are very confident for the high-quality growth in '23.
Unidentified Company Representative: Thank you. Next question, please. Please, the lady in the middle.
Unidentified Analyst: I come from the Bank Management News from China. And just now you mentioned your life insurance reform have already made some good achievements. So would you like to just elaborate on some of the achievements? And for the life insurance reform, can we equate that success now in the near future? How it's going to be continued?  And my second question, you mentioned about the new bank insurance channel. What are the new advances being made, especially compared with the insurance channel, what would be the positioning of the new bancassurance channel? What will be the outlook or the expectation from the managerial team?
Unidentified Company Representative: We are talking about the life insurance product. We did an in-depth reform for the past 3 years. We do have a great achievements being made. There are 3 highlights that we are truly proud of. The first one is the high-quality agent team building. We have already proposed, we don't need too much agents, but those agents need to be of high quality, need to have high productibility but also with a high salary. Last year, we had 450,000 agents. And their salary and productibility is being increased by 20% in their continuous approach. This is my first point.  My second point, besides the agent channel, and Ping An probably be the only player in the market that are exploring the opportunities from other channels, including the great channel from the community and the bank insurance channel. This as our great unique highlights. You know that for the new bank insurance channel, even if the primary growth is very fast, but it's NBV is relatively low for the bank insurance channel. For the whole industry, the number is only 3%. Only us and the Ping An Bank would be able to work together, especially we have 1,600 new bank insurance agents and all of them have at least the bachelor's degree. Many of them are the Master Students. They were graduated from a well-known universities, and they are also the professionals in the insurance and wealth management business. Their margin is actually 20% higher than 3% of the industrial average. And especially, you know that for our team, the achievement is even higher. This is quite unique to Ping An.  So you find out the new bank insurance channel, they will be able to cover some of the MT market that cannot have been covered by other agents. For Ping An, we have 1.1 million wealth management customers. Those are hard to be accessed by the individual agents. But because they're using our wealth management service, we provide the solution as a long-term guarantee, long-term deposit along with the medical health service for our 1.1 wealth management customer and the insurance product penetration ratio is less than 10%. They are very promising to be in the next of the insurance product.  The second uniqueness is our community based model. We are the only company in China that would be able to make sure some of those so-called the customer with often insurance order. And according to our practice, we will not be able to reactivate those 30 million inventory customers. We have already dispatched them to our community level agents, continue to provide service to those customers, continue with a renewal rate of the insurance product and penetrated with more service. You can say that even if in context to -- the macroeconomic picture is full of complexities. But now we already have 8,000 community agents. They at least have the polytechnic degree and half of them have the bachelor's degree from university. They are also of high quality. This is also one of our unique days. Our renewal rate of the insurance product being up by 40%. So besides of our high-quality insurance agents team, we also have bank insurance and a new community channel. They have already continued to contribute 17.6% of the NBV to this business. The third point that really makes me feel satisfied that we launched the insurance plus service model, especially with elderly care and healthcare service. You can say that in China, according to the government regulation, especially the discussion from the 2 sessions. We find out healthcare and elderly care would be very important service to the whole community. So Ping An is the [Technical Difficulty] care service to the consumer. So from our result release, around 2 years ago, we only have around 10% of those insurance policyholders that are enjoying other service. This number is already around 60%, especially the home-based elderly care products grew by more than 30%. So you can see these are the 3 highlights that we are truly proud of. They are also a very unique point of Ping An.  Let me just make one more comment on the bank insurance channel. The matter for their bank release or for the group release. Many people already concerned about the new bank insurance channel. And we're just constructing this team.  You can say that while working with Ping An Bank and Ping An Life insurance, for a very unique or for territory agents channel, it is very different from other banks. Because when we build such a team, we do have some guiding principles in our mind that can help us to take the right action.  The first point is that we have to have some reformed ideas in our mind. For the bank team, they truly need to know to be the wealth management team who know the insurance product. We have some traditional wealth management -- manager. They are not taking insurance as a one way for asset allocation. And they always promote some deposit-based short-term product to the consumer. So first of all, the agent need to know the insurance, and the insurance should also be taken as an asset allocation channel. This is the first point.  We have to update our ideas in mind. The team need to, first of all, learn how to do insurance, especially the most complicated insurance product. And later, they can actually be certified with the fund manager qualification and then to provide other asset allocation service to the customer.  The second point, we need to continue to renew the team. When we first established the team, the team need to be a team of high quality. So that's the Jessica mentioned in the previous response. And by the end of last year, we already have 1,690 people working for this team, around 95% of them are under the age of 40. And around 95% of them at least have a bachelor's degree. And around 44% of them are actually having Master's or Doctorate Degree. We have the agents graduate from Columbia University, and Cambridge University. While at the same time, you know that for banks, they have the current resources and the customer resource.  We need to optimize the use of those resources to allow our new bank insurance team to access to those resources. We also plus -- one-plus-end service model when we are [Technical Difficulty] high-quality customers. We have a taxation consultant, investment bank, professionals [Technical Difficulty] any of the high net worth population from the bank account, they are above 45 years old. They have enough money in their hands. We have to find the right product to those customers. We have the annuity plus the lifetime life insurance product to those customers [Technical Difficulty] with a very high margin. In the past, for the new bank insurance and the margin is around 10% higher than the industrial average. But that bank -- actually its margin is actually more than 20%. The renewal rate of the policy is also more than 95%. So after 2 years, we have already delivered a satisfying scorecard to the market.  Besides a very great positive growth momentum in 2022, group, you can say that the new bank insurance also continued to grow the revenue by 40%. And we also see great growth momentum in January and February of this year. And this is also a team. And they have a very motivated work attitude that can support other teams to continue to improve their competency. So besides this new team, the productibility from the traditional team also be greatly improved. So I believe for the new bank insurance, all the unique agents being organized within Ping An Bank actually demonstrated its integrated finance highlights in the next 5 years. This channel probably going to be one of the major channels for Ping An Life Insurance. They're going to contribute more to the NBV.
Ruisheng Sheng: Coming next, let's welcome 1 question from the online audience. [Operator Instructions]. Coming next, let's welcome Kevin from Hong Kong jurisdiction.
Unidentified Analyst: I'm Yu Chen form Hong Kong jurisdiction. And I have a few questions. The first question, recently the central government is in process of reform, especially the financial reform. CRC are probably going to see some organizational reform. Is it going to impact the banking industry, especially some procedure changes? And how you'd like to comment on this new organizational reform for CRC? And do you believe it's going to impact your daily business or your business procedure? My second question is that how are you going to comment on the profitability trend for this year? Especially recently, you find out in U.S. and the European countries, the financial landscape is full of fluctuations. And so there are some so-called headwinds for all the uncertainties for the profitability in both regions. How are you going to comment on the profitability trend? And what would be your investment strategy for this year?
Unidentified Company Representative: The first question, institutional reform in financial industry. During the 2 sessions of this year, the central government, the state council have already initiated the financial institutional reform. This is a reform that is truly committed for the new development landscape in financial industry, promoting the sustainable and high-quality growth of the financial industry. It's a mass to do. It can help us to prevent the financial risks and also protect the rights of the consumer making sure that the financial industry could be developed in orderly yet compliant and healthy approach. This is actually something good. Ping An indeed welcome the financial institutional reform from the central government in recent years, and we are responding to the stringent financial regulation and we'd like to continue to focus on our key business and reduce our cost, optimizing our efficiency. We did a lot of actions continue to improve our awareness of compliance and to safeguard our bottom line in order to prevent any major systematic risks from happening.
Unidentified Company Representative: At the same time, we continue to innovate our business model. Look forward reform, enhance consumer production to improve the inclusiveness, convenience and availability of services, and the quality of our financial services to serve the physical economy to benefit millions of customers. So we are practicing the requirement put to our financial services.
Unidentified Company Representative: Okay. I will take your second question. I think your question is about what do you think of overseas incidents. The futures market when it comes to the fast, interest rate hike, there has been -- the rationale change. We have to see the interest meeting falls in March, we are seeing that. Our most -- 95% of assets still in Mainland China. So I think as the economy recovers and the economy is moving into upswing, expansion, there could be pressure on interest rate to go up. So the full year interest rate curve could be slightly edging higher. So what we do when it comes to asset allocation, there will be no major impact because over years, for many years, our strategy, our core strategy has always been allocating to long-duration interest rate bonds to extend the duration to be better match to the asset liability. So we'll continue to do this, going to work well on the long-term management of asset liability matching. So that's my -- that's my answer to your question regarding interest rate.  Okay, next question from the floor. The lady over here.
Unidentified Analyst: I'm Ang Ching from Daily Economic News. I have 2 questions for you. The first is annual report indicates 227 million individual customers. Is that going to be a bottleneck in the future? How do you ensure the sustainability of your operating model? And secondly, can management talk about what needs to be done in the management model in managed health care? How does it comparable to U.S. model when it comes to the managed health care model?
Unidentified Company Representative: Okay. The first question has to do with integrated finance. Let me talk about some of the numbers. After long terms of efforts, this year, our integrated finance has made some milestone success. And even though it has been a difficult 3 years, but our number of customers, contract per customer, as well as the operating profit per customer, have all been growing steadily, which is remarkable, because if you look at 227 million individual customers that we have and the contract per customer is about close to 3 contract per person. And also, we have increased the number of customers with 4 contracts by 150% and it was 1.3x higher for those customers who are holding more contracts. This is difficult. We're talking about hundreds of millions of customers. We think -- we now know if we are holding more than 4 contracts, the attrition rate will be below 1%. So in the future, with health care, elderly care, services, provision, they're going to be holding more contracts. They're going to be more stickiness with the customers.  So the reason why it had been a difficult 3 years, but still we are able to continue and we still continue to do well. That's really because we think integrated finance is helpful for us to gain efficiency as financial institutions, reducing costs and managing risk better. This will help us to deliver a stable profit structure at the group and also deliver strong competitiveness and sustainability. But to do it right. As I said, do it right, despite such a difficulty, you're talking about hundreds of millions of customers, you're still talking about 2%, 3% growth every year. So that will be difficult. First of all, you need to have the full license suite. Secondly, you need to have the strong core business. Now the main channels is coming from life insurance. Now we are moving to life, property and bank. And we are highly centralized mid-office and back office. That really help us to deliver multiple product to 1 customer with different channels.  And also, there is a highly synergistic culture. So different culture, different organizational synergy, unified culture, which guide us to provide us to the same customer. If we were to go further, we have 227 million individual customers. What we need to be doing is to do 3 things right. Firstly, the customer demand engineering. We need to practice the philosophy of trouble-free, time saving and money saving for customers. Secondly, the financial advisory engineering. We have the technology capability to empower our teams. By way of service atlas and technology, advisory tools, to help to provide a long-term one-stop service solution to the customer.  Thirdly, for platform. Given the compliance, we need to continue to extend the connectivity of the data together with other platforms. At the same time, continue to optimize process to provide exquisite experience. We believe if we continue to do it right on these 3 fronts, we're going to have an even more solid foundation for integrated finance, and integrated finance would truly be the indestructible insurmountable great wall for Ping An.
Unidentified Company Representative: Yes, Mr. Xiao talked about integrated finance, which is a very unique model for us. Let me give you few numbers. In 2017, you can see the number of customers was 170 million. And this year, in 5 years' time, we reached -- last year, we reached 227 million -- 230 million. So as Mr. Xiao said, as they are holding our product for more contracts and more, the stickiness become very strong. For those who are holding 4 and more contract, the customer, actually, there are more than 90 million. This is an extremely high number. So -- and also we are building a great capability to serve these clients.  And also another number here. For those who are holding more than 20 contracts, there are more than 2 million customers. So these are the core clienteles, which validated the effectiveness of integrated finance and also greatly reduce the cost of acquiring customers.  Okay. Let me take your question on the managed health care. Why? Let me talk about why? And what is managed health care? And thirdly, how? And fourthly, why the confidence? Firstly, why managed health care? Like 3 years ago, we were saying, in line with the national and the population demand in recent 2 session and the 14th 5-year plan also talk about health care, medical, elderly care, like the lot are becoming more and more important, which is why we need to do insurance plus health care, insurance plus elderly care.  Secondly, what is managed health care? In simple terms, we are representing the payers to integrate providers. Who are the payers? The payers are -- well, Mr. Xie talk about, the 230 million financial customers. The payers have the money with us, but money is not enough. When they got sick, when they got old, when they need to use the money to find quality health care services to the best money can buy. So we are acting on their behalf to integrate providers. So who are the providers? How do we integrate providers? We'll have 3 networks, which is slightly different from the UnitedHealth in U.S. As you know, there's Optum, UnitedHealth in U.S. who are working on the provider, but they only have the in-store service, but we have the online, in-store and at-home. So we're operating with more complexity, which is in line with the resources landscape in China. We have Ping An doctor, and also we have the in-house veteran doctors.  And also for in-store, we work with 10,000 medical institutions, including 1,500 tertiary Grade A hospitals, will work with the doctor to provide in-store service. And when it comes to at-home services, this is -- we talk about the home base, elderly care, like living, and the clothing. We have 520 different standards. We set standard for the service provider. We procure the services and we monitor the service quality. So these are the 3 networks that we are unique about providing caring the managed health care. So it is like -- it's like a unified health care plus PDD plus Meituan. It's not exact, but it's easy to remember.  Why PDD? Because we are acting on behalf of the payer. We will procure as a group, so we procure the best buy. And why we are like Meituan as well? This is a major Internet player in China, where they are so convenient to provide logistics service and delivery service. So we are not just delivering to your doorstep, but actually delivery in your home. So this is putting the entry barrier even higher. So we have high expectation. It is difficult, but it's very valuable. It's not something you can easily copy. You need to have -- we need to access standard like PKU health care. We have the asset standard, we have the monitor performance, we need to have a strong technical platform. But we believe this is going to get better and better.  We have 40 million customer who are using health care services now. As the ratio continued to grow, amounted to 227 million financial customers, more are going to be adopting that kind of health care services.  Okay. Next question, the gentleman.
Unidentified Analyst: I'm Lu Liang from Southern Metropolitan News. My question is like, CNY this year, ChatGPT becomes such a hype on the Internet. A lot of top Internet platforms like Baidu, Baba, they are deeply engaged in to the AI. But there have been rumors talking about Ping An is actually the top player in AI. Based on public information, when it comes to AI patent, Ping An is in the leading position. Obviously, AI is moving from the back office to the front office now. As I can see, in the traditional industry, there have been a lot of drive to innovate. But we didn't have a lot of news coming from Ping An. So my question is, what's your -- what's Ping An's view on the frontier technologies such as ChatGPT? How does it drive financial industry, particularly what are their business opportunity and challenges for insurance, for example. What will be the impact? What have you done? And what are the progress on your front?
Unidentified Company Representative: Thank you for the question. Indeed, it is really a big popular topic. From 2018, the massive language LM study have started their 2 road maps. The first was [Technical Difficulty] generated and also birth, judgmental. So in 2018, Ping An have started to explore, which is different from ChatGPT in terms of scenario is a more generative AI. But Ping An have taken a slightly different path. We have done it in a more professional way. As I said, we are in the integrated finance and health care business. So therefore, we have an [indiscernible], which is a professional AI. So a professional AI in both finance and elderly care. So it's kind of AI robots. So we want to be a financial -- the most professional financial counselors were want to be the more professional personal doctor and the most professional elderly care butler.  For example, as a financial adviser, we are serving 230 million financial customers. Last year, we had CNY 2.6 billion occasional services. 84% was actually handled by , which is a robo-adviser. [Technical Difficulty] 49% of sales, 27% of [indiscernible] was coming from ASFA, which is what we -- which is what we have done in finance.  When it comes to most professional family doctor in the last 3 years, we've been doing our ASFA doctor. If you recall, there was a time -- when we went -- when in Shanghai, we actually -- we beat the GP, general practitioners in Beijing, a few years ago, we also defeat specialist -- 2 years ago, the World Diabetes Organization, we defeated a global or Singaporean diabetologists. So also, we have 8 million medical literature and order books that need to be read. So in terms of clinical guidelines, they actually incorporated. So not just a good doctor, PKU Healthcare doctor using it with 1 million outside doctor who are also using this AI.
Unidentified Company Representative: We hope that we can leverage it to become the most professional private doctor for our individual customer. And thirdly, we should also become a most professional elderly care professional. And you can see, I mentioned about the home-based elderly care, and that has been done for the past 2 years. But initially speaking, for this project, we're just taking care of the elderly care and especially their comprehensive service, the true needs of the elderly population.  We're just building our solution step-by-step. Last year, we do have some elderly care patients. Every day, around 40% of them are going to approach our professionals and our intelligent loudspeaker and that intelligent loud speaking can actually be able to talk with our elderly care customer directly.  We're going to continue to leverage AI in becoming the 3 most professional service ones and continue to show the value according to our key business.  Let's commentate the question from the online platform. Next question come from Asia Investment Journal. Let's welcome [indiscernible] to raise the question, please.
Unidentified Analyst: Two questions regarding investments. My first question just now. And Mr. Sheng has already mentioned about your comment on the macroeconomic picture of China. So for the group, and how you're going to comment on the security and also the share investment in China market for this year? Especially you mentioned that we have to continue to improve the durabilities. And which are those so-called long-term assets you are going to invest in?  And more importantly, on the fixed asset investment, including infrastructure and also property market and Ping An just released its sustainability report. I also would like to know your practice and the plan for sustainable investment in '23? Are you going to increase the position, decrease the position? Or what would be your target?
Unidentified Company Representative: Well, for this year, talking about the asset allocation, for sure. And because of our strategic asset investment, it is actually a long-term investment running through the industrial circles. So that's the reason. You can say, as we continue to extend the duration of the assets in order to work with the liability duration and now we have the duration gaps only 4 years or less than 4 years, which is actually a very eye-catching number in our industry. We did a very good matching work. Well, for this year, and the government actually asked for CNY 3.8 trillion of the special funds being released to the market. We're still going to work on those products for the mid- and long-term investment.  We're talking about those cash flow assets. We are already positive on those fixed asset investment with cash flow, for example, long-term rental housing, shopping malls, industrial parks, and you can say that all the office buildings, they will be able to provide long-term cash flow and also the value appreciation. That is also 1 of our interest rate -- interest for future asset allocation.  You also asked about the performance of the stock market. In '23, I think they're going to be a market with structural opportunities, especially the micro economy has been further improved and it's now already in the up world and expansion stage. According to the data, we find out some very positive signals. So I believe, for this year, in the stock market, will bring some good opportunities to us.  So our strategic asset allocation, we'd like to continue with more diversified tactical investment, making sure business lines are working together, find the right timing and the right pace of the investment. We do have our analytical team, our strategy study team. More importantly, we're going to leverage or select the best investment manager, use our mom-and-pop investment channel to create the alpha.  So investment is actually a comprehensive strength. You have to consider strategy, our tactics, and also the timing, and also the right market to get in [Technical Difficulty] -- we believe our share price being depreciated. So in the near future, we still have huge value for further investment.  One more point. Our demand payout ratios to be very stable. We provide a very stable cash dependence to our shareholders. We hope in the near future, our share price could also harvest a better performance to create more value to the shareholders.  Talking about the innovative product. Jessica, would you want to take on this question?
Jessica Tan: Talk about innovative product, right? Very easy. We have a few things: housing, vehicles and in share runs, deposit, credit card and health care. And this is actually all the points in my mind. And these are the 9 product we have in every channel.
Ruisheng Sheng: Okay. Due to the time reason, we accommodated the final question. Let's give the floor to the lady sitting in the middle.
Unidentified Analyst: I come from Xinhua Finance. We clearly noticed high-quality growth is actually something that every industry go for. I'd like to ask you how Ping An Group exercised high-quality growth? And how you're going to support the economic growth with high quality in China?
Unidentified Company Representative: Well, this is a broad question. Your question actually echoes with the call from the 20th CPC Congress. A few points for me. First of all, for Ping An Group, for the past 1 decade, our operations been truly stable, and we also made very good breakthrough. Our order indicators, a few statistics from me for the past 1 decade. Our revenue grew by CNY 300 billion to CNY 1.18 trillion. Our assets grew by CNY 2.8 trillion to more than CNY 10 trillion, grow by more than 3x, becoming the largest insurance company with the largest asset under management. As we have a robust operation, we also provide a robust and continuous payout back to our shareholders, and we have already did the dividend payout for 21x. And the total dividend is more than CNY 250 billion, ranking as the top ones among the Shanghai and Shenzhen listed companies. In '22, you can see that even if the time is quite challenging, but our dividend per share still grow by and we are still very confident of our future performance.  So how can we make such a good achievement? We have various clear strategy and very robust execution. They are the keys. We're going to continue with our 5 differentiated development strategy to promote high-quality growth of our business. First of all, we're going to continue to do integrated finance to step up our efforts for the housing and insurance cars, elderly care and credit loans and credit card, making sure that we have the product number per customer and profit per customer continue to grow.  We also would like to have the professional financial professionals, elderly care, service provider and health care professionals to give comprehensive support to our customer.
Unidentified Company Representative: Thirdly, to differentiate insurance, like insurance plus health care, insurance plus elderly care, including home base and high end. And fourthly, we're going to continue to drive the customer demand-driven engineering project so that they can save money, save the time and also save their troubles. And also, we're going to drive digitalization in management operation and also administration.  And secondly, let me talk about -- based on the stable performance of the company, we'll continue to generate huge tax revenue and employment for the local and national government. In the past 10 years, we paid a cumulative tax of close to CNY 900 billion. In 2022, well, we paid CNY 115 billion, which is account for 7 -- 0.7% of total tax revenue in China. For 5 years, we have been paying more than CNY 100 billion tax, and we provide 900,000 jobs. We have 1 job for 1,150 Chinese.  And thirdly, we stick with the financial core business and serve the economy end of 2022, we accumulated -- invested CNY 7.89 trillion to the rural economy, providing CNY 2.5 trillion risk protection, and we actively get involved in the Hong Kong, Guangdong, Macau, Bohai Bay -- Bohai Rim and also other economic circles will help technology to empower the small and medium companies.  End of 2022, Ping An Bank's inclusive SME customer is over 1 million. Some of the micro business at the bottom of the pyramid, they are the absolute mainstream with the balance of loan of CNY 500 billion, up by 38% year-on-year. Ping An inclusiveness also helped a small and micro business with the balance of loan of CNY 450 billion.  And fourthly, we're driving health care ecosystem strategy, while practicing the integrated finance strategy plus health care, which is a two-pronged strategy. And we innovatively promote the Chinese version of managed health care with a elderly care paradigm to explore the healthcare plus, home-based elderly care, insurance plus insurance, insurance plus high-end elderly care to provide the health care services and elderly care services.  Our managed health care is providing 80 million customer with services. Insurance plus elderly care is now available in 32 cities with over 500 services. So in this health care scenarios, we are effectively delivering heart-warming financial and health care services. We are contributing to healthy China strategy.  We practice social responsibility, on the fifth note, we have undertaken the responsibility due to a large corporation to support high-quality development of China. In terms of -- we have the -- we provide poverty alleviation and rural support with 77 [Technical Difficulty].  The second keyword is a growing mix and thirdly, a growing quality. So these are the 3 key roles. First of all, sustainability. In the past 2 decades, Ping An has maintained a 20% business and profit growth. Obviously, in the future, to maintain at 20% is not likely, but we definitely will be able to sustain a double-digit growth, a stable growth but not big swings.  Secondly, a structure because they're very important. We have integrated finance with a more stable mix and also finance, insurance plus health care and plus elderly care -- elderly care is the biggest demand going forward. That will be the biggest demand. So our integrated finance plus health care as well as elderly care, the business mix is going to be addressing the biggest demand in the market. So we have an excellent business mix.  And thirdly, the quality of growth. So you can see the annual results disclosed here. We have been able to keeping an ROE at around 16% to 18%. At this time around, we have 17.9% ROE. So the quality of the growth has been excellent. So that is -- those are the 3 key elements to the high development -- high-quality development of Ping An sustainability, the business mix of growth and the quality of growth.
Ruisheng Sheng: Okay. With that, we will conclude the result announcement today and also the Independent Director, Mr. Hui Ouyang is also present here at the announcement. If you have further questions, feel free to reach out to the -- our branding publicity team. We'll be happy to take on your further questions. Thank you.